Operator: Greetings and welcome to the Renewable Energy Group's First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Todd Robinson. Please go ahead.
Todd Robinson: Thank you. Good afternoon, everyone. And welcome to our first quarter 2019 earnings conference call. With me today is our President and Chief Executive Officer, C.J. Warner, and our Chief Financial Officer, Chad Stone. Let me cover a few housekeeping items, before I turn the call over to C.J.. First I would like to remind everyone that this call is being webcast and is available at the Investor Relations section of our website at regi.com. A replay will be available on our site beginning later this afternoon. The webcast includes an accompanying slide deck for your reference. This will appear automatically with the webcast, but you will need to advance the slides manually as we prompt you. For those of you dialing-in, the slide deck can be downloaded along with the earnings press release in the Investor Relations section of our website. Turning to slide 3, we would like to advise you that some of the information discussed on this conference call will contain forward-looking statements. These statements involve risks, uncertainties and assumptions that are difficult to predict. and such forward-looking statements are not a guarantee of performance. The company's actual results could differ materially from those contained in such statements. Several factors could cause or contribute to those differences. These factors are described in detail in the Risk Factors and other sections of our annual report on Form 10-K and subsequent quarterly reports on Form 10-Q, which are on file with the SEC. These forward-looking statements speak only as of the date of this call. The company undertakes no obligation to publicly update any forward-looking statements based on new information or revised expectations. Today's discussion also includes non-GAAP financial measures. We believe these metrics will help investors assess the operating performance of our core business. Please see the press release or the appendix to the accompanying slide deck for a reconciliation of the non-GAAP measures to the most comparable GAAP measures. With that, let me turn the call over to C.J. Warner. C.J.?
Cynthia Warner: Thank you, Todd. And good afternoon to those on the call. I will discuss our first quarter operating highlights and then Chad will cover financial results. Then, I will come back to discuss our outlook. We indicated in the guidance we provided in March that the first quarter would be a challenging margin environment, and it was. Those first quarter challenges were further exacerbated by extreme weather conditions in the Midwest, fog in the Gulf, flooding in the Midwest and the fire at the ITC Terminal at Deer Park, Texas, all of which impacted production and logistics at some of our plants. Despite these challenges, our underlying operational performance in terms of production and gallons sold was strong. As you can see on slide 4, we sold 162 million gallons of fuel. This was 20% higher than the first quarter of 2018. We produced 117 million gallons in the first quarter, a 10% increase year-over-year. Specifically, we produced 20 million gallons of renewable diesel at Geismar, a production rate which is 14% higher than the prior-year quarter. On the other hand, market conditions were highly challenging and our adjusted EBITDA was negative $27 million for the first quarter. So, as you can see on slide 5, we had some significant elements influencing EBITDA, both up and down. Relative to first quarter of 2018, factors that affected our 2019 first quarter adjusted EBITDA include the benefit of a 20% increase in volumes sold; a $27 million increase in LCFS revenue, reflecting our growing emphasis on selling into advantaged markets; a significant reduction in margin with our average selling price dropping by $0.53 per gallon, primarily due to lower RIN prices, while feedstock costs held flat; and $20 million greater risk management charges for the quarter. Chad will elaborate shortly on the first quarter impact in his comments. Remember that our adjusted EBITDA is before any benefit from a potential retroactive reinstatement of the BTC. We estimate our adjusted EBITDA would increase by $55 million for business conducted in the first quarter if the incentive is reinstated on the same terms. We continue to believe that the BTC will be reinstated in 2019. To summarize the quarter, underlying operating performance of our business was very good despite the margin environment that resulted in negative biodiesel margins and depressed earnings. Additionally, there remains the potential upside of the BTC and we continue to progress our growth initiatives. Let me now provide a bit more detail on these initiatives. One area of growth that we continue to focus on is operational excellence and optimization. As I noted, the 117 million gallons we produced was up 10% and is a record for first quarter, with five of our plants establishing new production records. This is an exceptional result, given that we had to temporarily reduce production at some of our plants due to weather and poor margins. As you can see on slide 6, we have added capacity year-over-year, mostly through continuous improvement. Specifically, you can see that Geismar has been a significant driver of this track record. Since 2016, we have increased Geismar's effective capacity by 45 million gallons. This was accomplished through increasing the effectiveness of our pretreatment process by 31%, extending the time between turnarounds by 33% and improving both reliability and throughput capacity. The increased capacity has boosted our efficiency and we believe the production economics of our renewable diesel operations are comparable to those of our domestic renewable diesel peers. Our sales and marketing team continued strong execution of the downstream expansion strategy. We are focused on moving down the value chain to serve our customers more directly and expand the overall use of biodiesel in the fuel pool. In addition to our strong first quarter sales, we are running several programs intended to develop new downstream channels and offers, starting out relatively small before expanding significantly. We added five terminals in the first quarter and we'll continue to add more. Next week, for example, you will hear about a new terminal partnership with Broco Oil company in Haverhill, Massachusetts, in which we will significantly expand the availability of bio-based heating oil and transportation fuel to customers in the region. We also continued our expansion to reach end user customers directly from our local facilities. We have two examples to highlight. Soon, we will open our first-ever REG cardlock station, which is adjacent to the Seneca biorefinery. This will be an automated, 24/7 retail fueling station which allows any customer to obtain their fuel directly from us. Our station will offer biodiesel blends produced at our local plant. This location allows us to serve our customers directly and enables us to refine our approach to further expand this channel. Second, we're running a fuel distribution pilot in Iowa using an REG owned and operated delivery fleet that delivers blends of our locally produced biodiesel direct to end users. One of the advantages of delivering direct to customer is we are generating greater enthusiasm for higher biodiesel content blends. In addition, as the fleet operator, we've modified our delivery trucks with a system that enables us to operate on B100 – in other words, 100% biodiesel fuel – year round even in harsh Iowa winters. We intend to significantly expand this exciting business model. Finally, our initiative to offer differentiated blends of renewable diesel and biodiesel products continues to gain traction, and this includes REG's Ultra Clean Diesel brand. We sold 11 million gallons of premium blends of renewable diesel and biodiesel in the quarter, a rapid expansion over the first quarter of 2018. We continue to see customer enthusiasm and find opportunities to leverage the unique capabilities based on our scale of renewable diesel and biodiesel production. As we expand our sales and marketing activities, we have been refreshing the look and feel of how we project the REG brand, as shown on slide 8. You may have recently noticed a new look to our corporate and investor relations websites, and if not I encourage you to go take a look. The Fuel Forward initiative is intended to better showcase the products and services that we offer in support of our growth initiatives and highlights our push for cleaner fuels to meet the increasing global demand. In summary, our downstream strategy is progressing as planned and we look forward to providing updates in the future. Now, let me update you on our divestiture of Life Sciences. We are pleased to share that we have identified a buyer. We're in late stages of negotiation and we anticipate closing soon. Further expansion into renewable diesel continues to be a focus for us. We are advancing our project efforts with Phillips 66 for our plan to joint venture to produce renewable diesel from an advantaged location on the West Coast. Work is progressing on schedule to engineer a 250 million gallon nameplate renewable diesel plant adjacent to Phillips Ferndale Washington refinery. On the federal regulatory front, we are all awaiting a retroactive reinstatement of the BTC. Bipartisan support continues to grow and we remain confident that the incentives will be reinstated for 2018 and 2019. Now, before I turn the call over to Chad, I want to highlight some of our contributions on the environmental and social fronts. We are very proud of the carbon reduction we achieved in the first quarter. On slide 9, you can see that the 117 million gallons of low carbon renewable fuel we produced displaced 900,000 metric tons of CO2. This tremendous environmental benefit is another part of our Fuel Forward initiative, which you'll be hearing more about in the months to come. In addition, we continue to improve our safety track record and we had zero reportable incidents in the first quarter despite the extreme weather conditions. Our 12-month rolling average injury rate is now at a company record low level and is well on the way to industry leadership. I will now turn the call over to Chad for the financial update and then I will return to discuss our guidance and outlook. Chad?
Chad Stone: Thank you, C.J. And good afternoon, everyone. Before I get into my comments on the quarter, I want to align everyone on the comparable results for the first quarter of 2018. Our first quarter 2018 results included the full-year retroactive BTC reinstatement for volumes associated with 2017 business, which is not related to first quarter activity. Accordingly, we will be comparing our first quarter 2019 results to the first quarter 2018 adjusted results, as you can see on slide 10. Total revenues were basically flat versus 2018. Revenues benefited from 20% increase in gallons sold and an increase in LCFS revenues of $27 million. These increases were offset by a 17% lower average selling price, primarily due to lower RIN prices as well as lower revenues from sales of separated RINs. Our margins were challenged in the quarter, as C.J. mentioned. We continued to run at a positive contribution margin with upside potential from the BTC reinstatement. And this is similar to other years when the BTC was not in effect. We believe the current low prices for biodiesel are primarily due to downward pressure on RIN prices caused by a combination of the market's anticipation of a BTC reinstatement and the concerns around small refinery exemptions for 2018 and 2019. Slide 12 shows that the current RIN prices are suppressed below the predicted level based on the historical correlation with the HOBO spread. Market prices for the lower carbon options in our feedstock portfolio were higher than in 2018 with average spot prices up $0.04 per pound, also impacting our margins. As you can see on slide 13, the spreads between soybean oil and both distillers' corn oil and used cooking oil have compressed. We believe the compression is attributed in part to low soybean oil prices in response to trade with China. On the other side, demand for low carbon intensity feedstocks intended for premium markets has provided supportive prices for waste fats and oils. Cost of goods sold for the first quarter of 2019 included $23 million of risk management loss compared to $2 million risk management loss in 2018. Recall our usual reminder that some of the risk management gains and losses recognized in the quarter are offset by the final realized pricing when the gallons are delivered in a subsequent period, and this is particularly relevant in the first quarter when we are opportunistically building inventory in advance of peak demand quarters where we expect improved economics. We remain focused on a lean and efficient organizational structure. Operating expenses were down primarily due to lower employee-related compensation. SG&A expenses as a percent of revenue were 5% in the quarter, which is consistent with prior years. Our adjusted EBITDA for the first quarter was negative $27 million pre-BTCs. If the BTC is reinstated, the adjusted EBITDA would be a positive $28 million. The net benefit of a retroactive reinstatement of the BTC would result in an increase in our adjusted EBITDA of $55 million and $43 million for the respective first quarters for 2019 and 2018. As we note consistently, our business is seasonal and we do not believe a single quarter's results reflect our long-term earnings power. To see our long-term earnings power more clearly and to reduce the impacts of seasonality, we look at time periods of a year or more. Slide 14 shows our trailing 12-month adjusted EBITDA and slide 15 shows trailing 12-month return on invested capital. The light blue on the bar charts reflects the net benefit of the BTC as reinstated. Moving to the balance sheet on slide 16, cash on hand was unchanged during the quarter, but marketable securities were reduced as they matured. This is in addition to increased draws on our lines of credit funding working capital. Receivables and inventory were substantially higher at quarter-end, while we also reduced payables. We normally build inventory during the slower winter months, taking full advantage of our production capability and historically lower seasonal feedstock prices with the expectation that we'll see better prices during our peak demand season in the summer. Looking at our liquidity, we had $140 million of cash and cash equivalents plus marketable securities at the end of the quarter. We had $58 million available on our lines of credit at the end of March. And now that we're emerging out the seasonally slow winter period, we're starting to sell more inventory and improve our cash flows. As I've mentioned in the past, we have set aside cash for the 2019 convertible bonds that are maturing in June. We have $65 million to $75 million remaining of budgeted CapEx this year, excluding any large renewable diesel projects. We continue to prioritize our highest impact projects while exercising fiscal prudence. Our effective tax rate for 2019 is expected to be less than 1%. Going forward, we expect our tax rate to continue to be less than 5% for the foreseeable future and our blended average interest rate is less than 4%. Now, I'll turn the call back to C.J. to discuss the outlook. C.J.?
Cynthia Warner: Thanks, Chad. Please I'll now refer to slide 22 for our guidance. For the second quarter of 2019, we expect ongoing strong underlying performance with gallons sold in the range of 190 million to 210 million gallons, which is a 10% to 22% increase over the second quarter of 2018. This includes the Geismar planned maintenance turnaround scheduled to take place during May. We do anticipate the margin environment to continue to be challenging in the second quarter due to lower RIN prices in the absence of greater certainty on the federal regulatory front. In addition, as we noted in our full-year 2018 earnings call back in March, the change in LCFS compliance rules results in the quarterly credit validation period being extended from a three-month deferral to a four-month deferral. The net effect of this change is that what we normally would have booked in the second quarter of this year is being pushed into the third quarter. All subsequent quarters will begin to book quarterly at a four month deferral period. The resulting one-time impact of the LCFS deferral will occur in the second quarter and is estimated to be in the range of $25 million to $30 million. Recall this is a timing item and not an actual reduction in value. With that in mind, guidance for adjusted EBITDA for the second quarter is in the range of negative $25 million to negative $10 million. We estimate that second quarter adjusted EBITDA would increase by approximately $63 million if the BTC is reinstated on prior terms for 2019. Therefore, adjusted EBITDA would be in the range of $38 million to $53 million. To put these numbers in context and to more closely reflect actual performance, we have created a pro forma table on slide 22. If we add back the one-time LCFS deferral to our guidance, adjusted EBITDA for the quarter would be in the range of breakeven to $20 million. Furthermore, if the BTC is reinstated, our second quarter pro forma adjusted EBITDA with the LCFS deferral added back would be in the range of $63 million to $83 million. This estimate for the second quarter is based on actual performance through last week and takes into account existing forward contracts expected to be fulfilled and existing spot margins through the end of the quarter. Any changes to the ULSD prices, margins, RINs or LCFS credit values or a level of market volatility through the end of the quarter could affect actual results. We have included $10 million of risk management losses in our guidance, which reflects our estimate for the quarter as of April 24th based on the ULSD forward curve. Our full-year guidance is increasing slightly with improved underlying performance. We now estimate that gallons sold will be in the range of 750 million to 775 million and gallons produced to be in the range of 520 million to 550 million. Now, I would like to turn the call over to the operator for the question-and-answer segment of our call. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Craig Irwin with ROTH Capital Partners. Please go ahead.
Craig Irwin: Good evening. And thanks for taking my questions. The first thing I wanted to ask about is the BTC for 2018. Can you remind us what the cash value would be for REGI if that was reinstated tomorrow? What would you apply for from the IRS then that would show up on your balance sheet?
Chad Stone: Craig, this is Chad. Thanks for the question. So, the 2018 amount of the net benefit to the BTC is $237 million and the net benefit for the first quarter is $55 million. So, in total, that's $292 million.
Craig Irwin: But the one-time cash payment from the IRS would be a $237 million cash payment for 2018. Is that correct? And then, everything this year would be additive?
Chad Stone: Yes, that's correct. Net benefit.
Craig Irwin: Okay. Excellent. Second question, just a big picture item. So, there is some optimism out there for trade settlement with China. But when we look over the last year, soybean, soybean oil prices have been compressed with this trade fight, seeing things trade in $0.27 to $0.30 range on average for soybean oil. But over the same time period, distillers corn oil has actually rallied. Would you expect a trade settlement with China to provide an uplift on soybean oil pricing? And the spread between soybean oil and distillers corn oil was quite wide a couple of years ago and narrowed over the course of the last year. Would you expect that to widen again or the rise in soybean oil prices would be accommodative for further increases in distillers corn oil pricing?
Chad Stone: Craig, this is Chad again. I'll take a stab at that. So, first, I agree with your comment on the trade with China that – I believe what we've experienced is downward pressure on the entire soybean complex, including soybean oil. So, I think that's been a force at work to keep a lid on soybean oil prices. So, that's one part of the equation. On the other side of the equation on distiller corn oil, I think there's a couple of things going on there. First of all, it's a lower carbon intensity feedstock that's very advantaged for markets like California, Oregon, and others that give us a premium for the low CI or the low carbon intensity. And that's been very helpful, but that's been supportive of strong demand for distiller corn oil. And then, I would say take a look at the ethanol producers because they've had some challenging margins and operational environment. So, the supply has been somewhat impacted. The net-net of all that is we certainly have seen a significant amount of compression year-over-year in the spread between soybean oil and distiller corn oil and used cooking oil. And I think it's because of those forces at work. The other variable out there that you've got to keep an eye on is growing supplies of palm oil that keeps pressure. In addition to the China trade, that's also keeping pressure on soybean oil prices. So, all that being said, I think that increasing demand and increasing premiums from the advantaged markets is going to continue to provide a floor for the low carbon intensity feedstocks like animal fats, used cooking oil, inedible corn oil or distiller corn oil. So, the historical spread may not get back to where it used to be. It's just my opinion, I know there's lots of opinions out in the market and lots of other forces, but I'll kind of stop there.
Cynthia Warner: So, Craig, this is C.J. There's a couple other interesting things to keep a very close eye on in the market, with some fairly large dynamic. And one of them is the swine flu epidemic. And the slaughter rates that have been required in China have been absolutely tragic. And as they've had to slaughter their herd, of course, the implication on the need for feed is going to change dramatically. And that is likely to put some pressure downward on soy prices in the near term. So, that's a fairly significant thing for us to keep an eye on. And the other dynamic, which I know people have been watching for and were waiting for it to happen probably in the second half of 2019, is the effect of the IMO fuel standard for marine where the sulfur regulation is going to go down for marine fuel. And our views at this point and predictions are that the diesel demand to blend down the sulfur level in the marine pool is going to go up, and so ULSD prices are likely to spike in the second half of 2019.
Craig Irwin: Okay. My next question is about the capital projects that you've been executing. I know there are a number of smaller projects that were in consideration at Geismar. As your most profitable facility, I could see many of those potentially being highest return projects at REG. Can you maybe discuss what you're actually executing now and what you expect to continue to work through in the second quarter and the summer? How should we look at these specific projects impacting the ability of Geismar either to take advantage of the local waterways or selling to alternative markets that could have different dynamics of demand?
Cynthia Warner: Yeah, great question. And our capital plan is something we keep a close eye on and seek to keep the momentum going. So, we focus on the projects first in order of priority with the highest impact. And that's kind of across the category. So, safety, maintenance, as well as strategy and growth all get their highest priority projects first in line. And in Geismar, we are continuing to do the engineering for access to the waterways, as an example, because that's highly strategic for us.
Craig Irwin: Okay. And then, last question, if I may, reinstatement of BTC, this is something we were all very comfortable, very confident nine months ago. And it's done nothing but drag on. Now, I know that there was something that was supposed to happen and then the shutdown changed everything. But then, with the change in the House, there's a fairly different dynamic – a dramatically different dynamic as far as the support and the votes, particularly given the hostility of Democrats to ag policies in the past. Can you maybe highlight for us the specific items that give you confidence that the House will support putting the BTC reinstatement into some bill at some point this year? And can you just reaffirm for us that your key champions in the Senate are still with us and, obviously, committed to American ag.
Cynthia Warner: Yeah, I'll jump in on that and then Chad can back me up. He's had a lot of direct experience in Washington lately. It is no doubt frustrating to all of us, but we continue to hear and see and get said back to us that it really isn't a matter of if, it's a matter of when. And we know it's not just the BTC that has been having trouble actually being activated, but there are a lot of other things in Congress. So, BTC in many ways appears to be a bit of a victim of the polarity that's stymieing a lot of other movement as well. We do see actually ongoing growth and bipartisan support. So, that's a very good sign. And as you pointed out, the dynamics in the Senate are changing. But the good thing is because there's strong bipartisan support, that's not really affecting the resolve with which we see for the BTC to be attached to some other bill from the House to be brought and floated to the Senate where the Senate can act upon it. As you know, we have a strong champion on the Republican side in Chairman Grassley from the Ways and Means Committee, but the Ranking Democrat Senator Wyden is also a sponsor. And so, that's a very good sign. We have 27 co-sponsors of the bill and there does appear to be a couple different vehicles that the bill could still be attached to in the coming weeks. One of them is retirement security, the other is a tax administration bill. And we know from speaking to them that we have many senators who are really just waiting for the House to float a bill, so that they can attach this to it. Chad, do you want to add anything?
Chad Stone: Yeah, I think that's great. One more thing I would add is, just even as recently as yesterday, there was a DC fly-in of biodiesel producers and it was hosted by a bipartisan, bicameral group of Congress folks and really it was highlighting and demonstrating the types of good paying jobs, a lot of times rural, a lot of times good paying production jobs in communities that need those. And again, in the Senate, I think that's been fairly well documented of the bipartisan support there. Of the 27 co-sponsors of that bill that C.J. referenced, first of all to get 27 Congress folks to co-sponsor something is a lot. Nine of those 27 are House Ways and Means Democrats. So, that's important progress that the industry has made to make inroads to the newly in-power House Democrats to make sure that they were onboard with our issues in our industry and the types of things we're trying to accomplish.
Craig Irwin: Great. That's really encouraging. Thank you. I'll jump back into the queue.
Chad Stone: Thank you.
Cynthia Warner: Thank you, Craig.
Operator: Our next question comes from Hamed Khorsand with BWS Financial. Please go ahead.
Hamed Khorsand: Hi. Could you just talk about a little bit as to what you're expecting here with the increase in production that you will be starting to get some sort of positive traction on the margin side?
Cynthia Warner: Well, I guess, the two are somewhat separate, but we continue to focus on underlying performance because we know the volume production is getting us a positive contribution margin in the winter months, which we're just coming out of now. Some of us have still had snow just in the last week. We've been using our production capacity to build inventory and basically play an arbitrage with the lower feedstock prices that we tend to experience in the winter and the higher product margins that we get in the summer time. So, that enables us to take advantage of that increased production. And, of course, we are developing a very substantial BTC benefit as we're doing that.
Hamed Khorsand: And then, how much of excess capacity you have to keep producing right before we get into the summer months?
Chad Stone: I'm sorry?
Hamed Khorsand: Are you producing at maximum now or do you have more capabilities? I know because you just raised guidance from the gallons you're expecting to sell through.
Cynthia Warner: Yeah. Our guidance is based on our production capabilities and our improvement and we're able to sell everything that we produce.
Hamed Khorsand: Okay. All right. Thank you.
Chad Stone: Thank you.
Operator: Our next question comes from Patrick Flam with Simmons Energy. Please go ahead.
Patrick Flam: All right. Thanks for taking my question. The first question is basically about the capital spending plan you guys have in place. If I heard it correctly, you said you still have something like $65 million to $75 million left in the authorized plan. I was wondering if you could talk about the cadence of that CapEx plan
Cynthia Warner: I'll start and then I think it will be good for you to hear from our CFO in terms of the fiscal prudence that he's put in place for our spending. But we do use, of course, a very strict stage gating policy. And so, within that capital expenditure plan, as I mentioned earlier, we have a prioritization activity that we undertake and make sure that we're working first on the highest impact projects, which include some of the longer-term strategic items. And in addition to the Geismar to the water project, another obvious example probably is the P66 co-engineering that we're doing on that JV. But, so far, we've been able to carry that natural cadence through and ensure that we are carrying through the project plan in the order that we would want to and be able to pull through the value that we would like. At the same time, our CFO ensures that we're following some strict guidelines for fiscal prudence. So Chad, you might want to add some color to that.
Chad Stone: Sure. Thanks, C.J. So, Patrick, yeah, to that point, if you look at first quarter, we had about $8 million of CapEx in first quarter. We had generally guided in the $70 million to $80 million range for the full year. And sometimes these projects take 12 months to 15 months. So, you can imagine, as we go out throughout the year, the sooner you have certainty around BTC, the more likely you execute on all these. In the meantime, we're going, based on cash flow and forecasting and availability, obviously, prioritizing safety first, maintenance first, but then we've got some very profitable, fast payback, rapid payback projects that are the first in the queue that we have underway. For example, we've got a great one at Seneca. We've talked several times about our planned venture with Phillips 66. Of course, there's some engineering work going on with that, some improvements at Geismar and Seneca. So, that said, the fiscal prudence is, obviously, driven by our cash forecasting and availability.
Patrick Flam: That's very helpful. As a follow-up question, on their recent call, Phillips 66 talked about that Ferndale project potentially being FID-ed before year-end, which would time it for a 2022 start-up. Is there anything on that you can comment on? And is it in any way tied to the renewal of the BTC or is that a second issue?
Cynthia Warner: So, we would just support our partner in that cadence for the project. We're working closely together [indiscernible] strict stage gating. So, that enables us to work together to get the decision making at the right time and in the right place and ensure we're spending capital wisely together. And it's basically a schedule-driven project because we both want to get the RD production going as soon as possible.
Patrick Flam: Okay, great. Thanks.
Chad Stone: Thank you.
Operator: [Operator Instructions] Our next question comes from Alex Long with Approachable Capital Management [ph]. Please go ahead.
Unidentified Participant: Hi, guys. I have a quick question on the deferred LCFS topic. Should I understand, during Q2 2019, you guys will not be able to book any LCFS credit and all that – so that $25 million to $30 million that you're supposed to be booking in Q2 is all pushed into Q3. Is that the right way to think about it?
Chad Stone: Yeah. This is Chad, Alex. Think about it this way. Before that deferral, we normally would have been issued those credits from California in June and would have been able to monetize them. Now, we're going to get them in, let's just say, July because of the one month further delay and I can't record the benefit of those before we get them and deliver them. So, that's why, for us, there's a kind of a one quarter shift out. And really what California is doing is trying to improve their validation and auditing of people to comply with the program. So, they're kind of asking participants for more time, so they can do better diligence. The way that it affects us is our ability to get our hands on them and then sell them separately to customers is delayed slightly. So, that's why we're really highlighting the impact on this second quarter. And then, going forward, we expect it to become ratable again.
Unidentified Participant: Got it. So, in Q1, 2019, you had your LCFS credit, but because the rule changed, just in Q2 2019, you book like zero. In Q3, you will resume – you'll get to book three months' worth of LCFS?
Chad Stone: That's exactly right. And the other thing we said earlier in C.J.'s comments is that quarter one 2019 was $27 million higher than quarter one of 2018. And part of that is driven by a significant increase in the number of credits and the amount of fuel we're selling into California and the other is attributable to – a year ago LCFS credits were down near $100 per credit and they've increased substantially. So, they've become more – things like this have become more significant in dollar value to us, and that's why we really wanted to flag this and get it on people's radar, so they can model and start to give a sense of what the value is to the quarter.
Unidentified Participant: Okay. Appreciate it.
Chad Stone: Thank you. Operator Thank you. There are no further questions. I would like to turn the floor over to C.J. for closing comments.
Cynthia Warner: Thank you so much, operator. To wrap up, everyone, we continue to deliver on the controllable elements of our plan and have put in place several exciting programs that we believe will accelerate growth into the future. We remain confident in our long-term earnings power and the value we continue to create. Now, before we close, Todd is going to mention some upcoming investor events for REG. Todd?
Todd Robinson: Thanks, C.J. As shown on slide 23, we will present at the BMO 13th Annual Farm to Market Conference on May 15th in New York. Attendance at this conference is invitation-only. So, please contact your BMO sales representative if you want to attend or schedule one-on-one meetings with us. We will also be attending the Baird Consumer, Technology & Services Conference June 4th through the 6th and the ROTH 5th Annual London Conference June 17th through 19th. Attendance at these conferences is invitation only, so please contact your sales representative if you want to attend or schedule one-on-one meetings. Lastly, our Annual meeting will take place on May 8th at 10 o'clock at our office in Ames, Iowa. Doors will open at 9 o'clock for registration. Thank you all. This concludes the call and you may now disconnect.